Operator: Good day and welcome to the First Industrial Realty Trust, Inc. Fourth Quarter Results Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Art Harmon, Senior Vice President of Investor Relations and Marketing. Please go ahead.
Art Harmon: Thanks very much, Dave. Hello, everybody and welcome to our call. Before we discuss our fourth quarter and full year 2023 results and our initial '24 guidance, let me remind everyone that our call may include forward-looking statements as defined by federal securities laws. These statements are based on management's expectations, plans and estimates of our prospects. Today's statements may be time-sensitive and accurate only as of today's date, February 08, 2024. We assume no obligation to update our statements or the other information we provide. Actual results may differ materially from our forward-looking statements and factors which could cause this are described in our 10-K and other SEC filings. You can find a reconciliation of non-GAAP financial measures discussed in today's call in our supplemental report and our earnings release. The supplemental report, earnings release and our SEC filings are available at firstindustrial.com under the Investors tab. Our call will begin with remarks by Peter Baccile, our President and Chief Executive Officer; and Scott Musil, our Chief Financial Officer, after which we'll open it up for your questions. Also with us today are Jojo Yap, Chief Investment Officer; Peter Schultz, Executive Vice President; Chris Schneider, Executive Vice President of Operations; and Bob Walter, Executive Vice President of Capital Markets and Asset Management. Now, let me hand the call over to Peter.
Peter Baccile: Thank you, Art and thank you all for joining us today, and thank you to all of the members of the First Industrial team who navigated a challenging 2023 to once again produce some great results. We delivered another record year of cash rental rate growth on new and renewal leasing and then laid the groundwork for another strong year in 2024. We executed on both sides of the transaction ledger with attractive new investments and impactful sales. We finished a year with some key leasing wins in our in-service portfolio and our developments. Moving now to the broader industrial market, the increased level of tenant traffic we saw towards the end of 2023 has continued into 2024. With the overall economic picture and interest rate environment becoming a bit more clear and with slightly lower market volatility, more businesses are revisiting their space needs for growth. On the supply side, as you know, starts nationally ramped up in 2022 and early 2023 to meet customer demand driving national vacancy to around 5%, still low by historical standards. Those projects have made and are making their way into inventory with completions for 2023 totaling $487 million square feet compared to net absorption of 239 million square feet according to CBRE. Importantly, the market has responded to this imbalance appropriately with new starts down around two-thirds from the peak. Within our portfolio, broader activity has resulted in several signed leases in both our in-service portfolio and new developments. We're pleased to announce two big long-term leasing wins in Baltimore. We leased 100% of the 644,000 square foot old Post Road asset to a government-related 3PL and 50% of our neighboring 349,000 square foot asset. In our development portfolio, inclusive of our Phoenix Joint Venture, we signed a total of 651,000 square feet of leases since our last call. In the fourth quarter, we signed a 209,000 square foot lease at our First Park 94 building in the Kenosha submarket of Chicago. We also signed a 26,000 square foot lease at our first loop development in Orlando. So far in 2024, we've signed a 40,000 square foot lease at our first 76th Logistics Center in Denver. Also, in our Phoenix Joint Venture, we signed two leases at the 376,000 square footer to bring that building to 100% lease prior to completion. We've now fully leased two of the three JV buildings with the thirds slated to be completed in the second quarter. For the developments we placed in service in the third and fourth quarters of 2023 that are not currently fully leased, we have approximately 240 basis points of occupancy opportunity. We're seeing prospect activity at most of these assets, so we hope to have more progress to report throughout 2024. As I mentioned in my opening remarks, we set a new annual record for cash rental rate increase for new and renewal leasing in 2023 of 58.3%. 2024 is also off to a good start. To-date regarding lease signings related to 2024 commencements, we've taken care of 53% by rental income at a cash rental rate change of 39%. We have a few leasing opportunities within our Southern California portfolio over the balance of the year, which we expect will bolster this metric. Overall for 2024, we're currently forecasting cash rental rate growth on new and renewal leasing of 40% to 52%. Moving now to the investment side, we brought home a few attractive deals during the fourth quarter for an aggregate purchase price of $37 million. In Southeast Houston, we added a fully leased 54,000-square-foot building at our Energy Commerce Business Center asset. With this addition, we now own all five buildings totaling 676,000 square feet in this well-located park with frontage on Beltway 8. We also completed a sale leaseback transaction for a 69,000-square-footer in the Inland Empire West. Longer term, this investment provides us an opportunity to build a new 175,000-square-foot building on the site when the lease expires. Lastly, we acquired a nine-acre land site in Orlando for which we have a built-to-suit tenant in tow for 112,000-square-foot project. Our total investment, including the land, will be approximately $21 million, and the tenant is expected to take occupancy in 2025. Moving now to dispositions. In the fourth quarter, we sold 785,000-square-feet for $64 million. The largest sales were two buildings in Cincinnati for $23 million and a 264,000-square-footer in Central PA for $21 million. For the year, we sold 1 million-square-feet plus two land sites for a total of $125 million. With these property sales, we ended the year with 95% of our rental income in our 15 target markets, meeting the goal we laid out at our 2020 investor day, and 57% in our coastal markets, which exceeded the 55% high end of our target range. Scott will update you shortly on how we performed on our $260 million AFFO opportunity. Thus far in 2024, we closed on a five-building, 278,000-square-foot sale in Cincinnati for $33 million. For the full year 2024, we expect sales of $100 to $150 million. Regarding our dividend, given our performance and outlook for growth, our board of directors has declared a dividend of $0.37 per share for the first quarter of 2024, or an annualized rate of $1.48. This represents a 15.6% increase from the prior rate and a low payout ratio of approximately 70% based on our anticipated 2024 AFFO, as defined in our supplemental. With that, I'll turn it over to Scott to provide additional details on our performance and our 2024 guides.
Scott Musil: Thanks Peter. Let me recap our results for the quarter. NAREIT funds from operations were $0.63 per fully diluted share compared to $0.60 per share in 4Q 2022. For the year, NAREIT FFO per share was $2.44 compared to $2.28 in 2022. Excluding $0.02 per share of income related to the accelerated recognition of a tenant improvement reimbursement associated with a departing tenant, 2023 FFO per share was $2.42. As a reminder, our fourth quarter and full year 2022 results included a penny per share of income related to the final settlement of insurance claims for damaged properties. Excluding this impact, fourth quarter and full year 2022 FFO per share was $0.59 and $2.27 respectively. Our tax same-store NOI growth for the fourth quarter excluding termination fees was 7.2% and for the year it grew 8.4%. Our 2023 results were driven by increases in rental rates on new and renewal leasing, rental rate bumps embedded in our leases, and lower free rents were partially offset by a slightly lower average occupancy and an increase in real estate taxes. We finished the quarter with in-service occupancy of 95.5%, 10 basis points from the prior quarter helped by leases in Baltimore and Chicago partially offset by developments placed in service. Now we'd like to take a moment to recap our $260 million AFFO opportunity that we laid out at our 2020 Investor Day. We discussed the opportunity to grow our AFFO as defined in our supplemental to $260 million or $1.97 per share on a steady-state basis by fiscal year 2023, including the $41 million potential NOI impact related to the funded portion of our unleashed developments for 2023 AFFO approximates $289 million, $2.13 per share, which is well above the opportunity we discussed at our 2020 investor day. Before I review guidance, let me remind you that on the capital fund we are strongly positioned with no debt maturities until 2026, assuming the exercise of extension options in two of our bank loans. Also with our planned 2024 asset sales that Peter discussed and our expected excess cash flow after capital expenditures and dividends, we will have sufficient funding to complete our developments and process. Moving on to our initial 2024 guidance for our earnings release last evening, our guidance range for AFFO is $2.56 to $2.66 per share. Note that guidance excludes approximately $3 million or $0.02 per share of accelerated expense related to accounting rules that require us to fully expense the value of granted equity based compensation for certain tender employees. Including this $0.02 per share of expense, our NAREIT AFFO per share guidance range is $2.54 to $2.64. Key assumptions for guidance are as follows. We are projecting quarter and average occupancy of 96% to 97%. Same-store NOI growth on the cash basis before termination fees are 8% to 9%, primarily driven by increases in rental rates on new and renewal leasing and rental rate bumps embedded in our leases. Note that the same-store calculation excludes the 2023 tenant reimbursement that I discussed earlier. Guidance includes the anticipated 2024 costs related to our completed and under construction developments at December 31st. For the full year 2024, we expect to capitalize about $0.05 per share of interest. Our G&A expense guidance range is $39.5 million to $40.5 million. This includes the roughly $3 million in additional expense I referred to earlier. We expect first quarter G&A expense to be higher than each of the remaining quarters. Lastly, guidance does not reflect the impact of any future sales, acquisitions, development starts, debt issuances, debt repurchases or repayments, nor the potential issuance of equity after this call. Let me turn it back over to Peter.
Peter Baccile: Thanks, Scott. Thanks again to my teammates for all of their efforts in 2023. We're excited about the opportunity to drive cash flow growth by continuing to capture market rent growth in our portfolio from new and renewal leasing, the embedded NOI opportunity within our completed and in-process developments and from our annual escalators and our leases. Also, we are well-positioned with coastally oriented land sites that can be put into production and provide attractive risk-adjusted returns as market conditions warrant. Operator, with that, we're ready to open it up for questions.
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question comes from Vikram Malhotra. Please go ahead.
Unidentified Analyst: Good morning. This is Georgie [ph] on for Vikram. Can you walk us through your thoughts on further leads up and in which markets have you seen any signs of weakness and strength?
Peter Baccile: I think you asked if we can comment on leasing prospects and weaknesses and strengths across markets. Is that right?
Unidentified Analyst: That's correct.
Scott Musil: Okay, Peter.
Peter Schultz: Sure. This is Peter Schultz. Generally speaking, we've seen an increase in activity and tenant engagement in the last 60 days or so from the second half of last year. Activity, broadly speaking, is better in the smaller mid-sized spaces. And that's relative to which submarkets and markets. Those are in, as an example, in Denver and South Florida, that might be 50,000 feet and under, in Pennsylvania and Nashville that's 300,000 to 500,000 feet. Jojo, I'm sure we'll have some comments about California for you. We've also seen a higher level of urgency in some cases from some tenants making decisions quicker. Although I would say a lot of tenants still continue to be somewhat cautious and methodical about their decisions. But we're encouraged by the level of activity that we're seeing today. Jojo, anything you want to add to that?
Jojo Yap: Yes, thanks, Peter. So in the last 60 days, activity, tour activity, proposal activity has increased over Q4, '23. And what I'd just like to add to is the major companies that are touring in both 3PLs, I would say, general retail wholesale, food and beverage, e-commerce, and manufacturing, and auto related.
Unidentified Analyst: Thank you. That is helpful. And just a follow up for me. What rent spreads are baked into the guidance? And where do you see overall market rent growth this year?
Peter Schultz: I'm sorry, the first part of your question.
Scott Musil: Rent spreads in the guidance, which is the 40% to 52% cash rental rates that we have articulated in our script.
Jojo Yap: Right, so, a midpoint of 46%.
Unidentified Analyst: Yes.
Peter Schultz: Rent growth in '23. So we, at the beginning of '23, expected it to be about five to 10% kind of a wide range. We weren't real sure in a year where the markets were moving quite a bit with a lot of volatility. It ended up by rent grew in our portfolio about 8%. So we're right in the middle of that range. For 2024 we're looking at rent growth that approximates inflation plus a point or two. So say 3% to5% is our expectation.
Unidentified Analyst: Thank you for taking my questions.
Operator: The next question comes from Ki Bin Kim with Truist. Please go ahead.
Ki Bin Kim: Thanks. Good morning. And congrats on leasing up Old Post Road. I know that was your favorite topic.
Scott Musil: Peter is smiling.
Peter Schultz: Thank you Ki Bin.
Ki Bin Kim: So turning to Inland Empire project, I think the last time we spoke. You talked about for all your projects. You had about one or two prospects with obvious challenge being that these tenants have multiple options. So could you just provide an update on the tenant demand that you're seeing that market? Perhaps how you're calibrating leasing strategy and just overall, like, how should we think about the pace of lease up?
Scott Musil: Yes, I will start. And then Jojo will talk more about SoCal in particular. This year, honestly, is a difficult year to project. The pace is tough to call. We're in this period of time now where we think things are improving, less market volatility, a little bit more confidence, inspiring economic data coming out. What I mean by that is, it's easier for potential tenants to begin to make decisions about what would be rather large investments if they take down larger properties, so all that is good. The difficult part, Ki Bin, is deciding, what the pace of that activity is with respect to the activity turning into ink. So that's part of the challenge for us this year and the projection and Jojo, you can talk more about traffic.
Jojo Yap: Sure. And so, in terms of, you know, in Q4, there's quite a bit of lots of monster of new completions that exceed instructions. So the market is digesting through digital supply. Some of the positive things that we're seeing in the market right now is that if you look at the productivity in the last four months of '23, compared to the last four months of '22, it actually increased by 20%. So that's, you know, if that continues, then there's definitely going to be a little bit more activity. Recently freight activity, when I say freight, truck freight activity has been increasing. We think we're recovering from the bottom. So that's clearly a sign of maybe a little bit of a positive GDP growth, a little bit of a positive impact from maybe retailers restocking their inventories. So that's what we're looking at. At the end of the day, if you look at our assets, I would say, I won't go through each one of them. But I would say that in each of our new developments, each of the submarkets, they are top tier, I would say, in terms of quality and functionality, they're about top 15%, maybe top 10% even on some of the submarkets. But so what we're focused on is trying to lease them up.
Ki Bin Kim: Okay. And on the G&A guidance of $40 million and the accelerated equity investing, I just want to understand that a little better. Are these equity programs like a multi-year program, so next year, that $3 million portion won't repeat?
Scott Musil: The program we have in place is very similar to other companies for tenured employees. So basically, once they reach certain milestones, age, years of service, their equity awards are expensed immediately for accounting purposes. I would say specifically the $3 million charge that we assume this year we're not going to incur that in 2025. And in fact, probably a lot of that's going to reverse. So that's going to be the impact that $3 million on a go forward basis.
Ki Bin Kim: Okay. Thank you, guys.
Operator: The next question comes from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning, guys. Can you talk about current trends in material labor pricing and how the next batch of starts compares to the seven four cap and 38 to 48 profit margin on the current six projects under construction?
Scott Musil: Jojo, do you want to take that?
Jojo Yap: Yes, I can take the construction pricing part. So if you look at middle of last year and '23 overall prices, material and labor prices came down anywhere from 5% to 8%. Our view is that in 2024, first half, it will be flat outside of any supply chain shop. It's going to be flat or even kind of declining. But we're not underwriting that. We're underwriting inflationary in any of our contemplative development projects. And right now, we have nothing new to announce, but that's the trend of construction material and labor prices. If there's a wide chain of materials, it's better. The environment right now is better, much better than last year in terms of getting materials. Everything now is really coming into schedule except this year. And that's basically a lot of it's due to the supply cliff that the industry is facing right now. Record low development starts.
Peter Baccile: With respect to your question on margins, if you look at our portfolio of opportunities, so the land holdings that we have, the entitlements that we have, et cetera, it's a very large investment opportunity. That taken as a portfolio, will yield 7% or better. And that's being underwritten at today's rate, so significant margin opportunity there.
Rob Stevenson: Okay, that's helpful. And then now that the Baltimore assets are largely leased, where's the biggest vacancy upside beyond just the recently developed projects and those under constructions? And any known move-outs of consequence in '24 or '25 at this point?
Peter Baccile: Chris, you want to take that?
Chris Schneider: Yes. As far as known move-outs, we've got 3.1 million square feet still rolling in 2024, and there's no significant known move-outs in that population.
Rob Stevenson: And any sort of vacancy targets in the stabilized portfolio that you're looking to lease up at this point? Or is that all just little pockets here and there of vacancy beyond the development pipeline?
Scott Musil: I'll take that, Rob. It's Scott. There's a couple of leases that we do have budgeted forecasted for a couple hundred thousand square feet that are scheduled to lease up this year. So that's in the core portfolio, so non-development.
Rob Stevenson: Okay. That's helpful. Thanks, guys. Appreciate the time.
Operator: Our next question comes from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi, thanks. Good morning. Just wanted to follow up, I guess, on that last question, the last bit there. Scott, what's embedded in the guidance in terms of additional lease-up and commencements related to the developments that are completed and that are not in service? That'll be transitioned into service during 2024. Is there anything embedded in the guidance for those projects?
Scott Musil: Yes. So we have a 2.8 million square feet budgeted in our guidance related to development lease-up. I would say half of that relates to developments completed in 2023 that are scheduled to lease up in 2024. And the other half of that are not fully lease developments we placed in service in 2023. As far as timing is concerned, 1.4 million square feet is scheduled to lease up in the second quarter with the remaining 1.4 million square feet scheduled to lease up in the back end of 2024.
Todd Thomas: Okay. That's helpful. And what's the timing of the commencements at both 400 and 500 Old Post Road with those leased to sign? And at 500 Old Post Road, I was just wondering, I know it was a lengthy process there, but did anything change with regard to rent or the roughly, I think, 25% mark-to-market? Was that consistent with everything that you originally anticipated or were there any changes?
Peter Schultz: Todd, it's Peter Schultz. So the commencement date for the lease at 500 Old Post Road was in December of 2023. The commencement date for the half of 400 Old Post is scheduled to be in the first quarter of 2024. In terms of the economics for 500 Old Post Road, we did better than the mark-to-market that we described in earlier calls. So we were pleased with that result. And yes, it certainly took a long time and torturous path dealing with the government and all that. But we did not reduce any of our terms or economics through that process. The mark-to-market on the smaller space was better yet again than we did on 500 Old Post Road.
Todd Thomas: Okay, great. And just lastly, just one question, I guess, back to the accelerated expense for the non-cash comp is also all of that's expected to be realized in the first quarter. Is that right? And then I think you said that the expense will be reversed in the future. Can you just explain real quick the accounting treatment for that expense and the corresponding shares, you know, how that will work?
Scott Musil: So the $3 million that we spoke about in the script, that's going to be ratably expense over the four quarters. Okay? Now we have other tenured employees that were tenured last year and are tenured this year that are getting expensed as well in the first quarter of 2024. And that's what's causing we think G&A in the first quarter of 2024 to be about $3 million higher than what it's going to be per quarter for the remaining quarters. As far as the reversal is concerned, coming in 2025, we really don't have any folks that are reaching this tenure, so we're really not going to have any additional expense. But when you work through the math through the vesting process, the vast majority of the $3 million that we talked about is basically not going to be incurred next year. So it'll cause a reduction in our G&A. Does that clarify Todd?
Todd Thomas: I think so. So all else equal if G&A outside of the comp plan is unchanged, G&A in 2025 would be lower by roughly $3 million year-over-year.
Scott Musil: That's correct, plus whatever increases and costs are in 2025, so that's correct, yes.
Todd Thomas: Sure. Okay, got it. All right. Thank you.
Operator: Next question comes from Craig Mailman with Citi. Please go ahead.
Craig Mailman: Hey, guys. Just looking at the development pipeline, it looked like the expected yields picked up a little bit quarter-over-quarter. At the same time, kind of rents in the EIE [ph] are softening up and free rent concessions are rising. I'm just trying to get a sense of how you guys are looking at kind of underwritten rents and maybe walk us through kind of how those underwritten rents or when the time period of those rents were. And maybe that's why yields aren't moving or just kind of how you guys are thinking about that?
Scott Musil: Jojo?
Jojo Yap: Yes, Craig, this is Jojo. First of all, there's a change of mix, number one. Second of all, these are all adjusted for what we think we can get in the market today. So we always adjust them every quarter. And in terms of we didn't change the market cap rates, although we think that Q1 to Q2 this year will be better than second half of last year, so no change in that.
Craig Mailman: Okay. I mean, you guys, what's the competition like it sounds like you do have good activity on stuff in the EIE, but kind of what is pricing looking like in the competition from other developers out there who also have to lease space kind of how's that trailing?
Scott Musil: So, you know, when you look at our developments, so for example, right now, development complete and done in service in Fontana, we have an 83,000 footer there. That's kind of a unique asset. It's about 25% FAR. So we're not really competing with anybody there. What we need to look at to get there is a tenant that's going to use that facility. And, you know, in Redlands, we have a 460,000 square footer. If there's a 460,000 footer user out there who looked in the market for a cross-stop with this kind of functionality in Clear Height, there's really nothing there. So it's hard to kind of compare. We've got a really great asset there. But we have three buildings are going to be finishing off in Paris. It's still under construction. At that point, the market, I would say we would have about two to three buildings compared with each of the buildings there. So there's a lot of talk about rents generally have come down, you know, 5% to 10% in Q4 last year, but the costs are not supporting it. But the tenants are shopping [ph].
Craig Mailman: Okay. And I think, Peter, I've asked you this in the past, just going forward from our risk mitigation standpoint, you guys have the spec cap, but just how do you think about an optimal mix of maybe, you know, adding in a higher level of built-to-suit to complement kind of some of the bigger spec that you guys do give?
Peter Schultz: Yes, we are in the market for built-in suits on a pretty regular basis. We're looking to deploy the land that we have at the highest risk adjusted returns and sometimes that'll mean built-to-suits, and sometimes it won't. I think, while we expect to do more built-to-suits, the mix between built-to-suits and spec is probably not going to change meaningfully, correct, going forward. And, you know, our holdings are in, let's just say, very high barrier coastal locations. So the spec business in those markets is obviously much, much better than it would be, say, in the inland sites in the country.
Craig Mailman: Okay, that's helpful. And maybe if I could sneak one more in. Scott, can you just walk through kind of the difference between the kind of the 8% to 9% same-store and how that translates into kind of 7% FFO there?
Scott Musil: Sure. So we gave a midpoint of 8.5% on same-store. What's happening, though, in 2024, Craig, is on the interest expense side, we're incurring more interest expense. Two reasons there. Our average indebtedness is scheduled to be higher in 2024 compared to 2023. And then two, the weighted average interest rate in '24 is going to be slightly higher than what it was in 2023. So that's the main driver of the offset to that same-store.
Craig Mailman: Great. Thanks.
Operator: The next question comes from Nick Thillman with Baird. Please go ahead.
Nick Thillman: Hey, guys. Maybe want to touch a little bit on the investment sales market and kind of what you're seeing there, like who are the buyers? And then, are you seeing any differentiation between portfolio deals and just single asset deals?
Peter Baccile: Jojo, do you want to talk about that?
Jojo Yap: Yes. Hi, this is Jojo. So in terms of the investment market, Q4 obviously in 2023 was very slow, actually in Q3 and Q4. But today, in terms of investment markets, there's continued demand for every kind of buyer that we've seen in 2022 or 2023. Institutional, private users, the investment market, their users are buying investors and private and institutional. So what we're hearing from a capital market today is that since the interest rates have been starting to become more stable, more funding now, there's more interest. Capital markets people, when I say that the major brokers are getting more offers today on the product they put in the market, significantly actually more players than the second half of 2023. So the market seems to be in terms of investment appetite for investors have increased quite a bit.
Nick Thillman: That's helpful. And then maybe just, you guys seem a little bit more optimistic on the outlook here for 2024, but maybe get some more commentary on big box demand and maybe appetite for multi-tenanting some of these developments that are vacant that have been placed in service. You guys mentioned like some of the sweet spots are in the small to mid-size areas in Nashville and Denver, but just wanted to get some commentary there?
Peter Baccile: Peter, do you want to cover off the Denver multi-tenant?
Peter Schultz: Sure. So I would say, again, the demand for the largest spaces, so a million up in most markets has been softer. As I said earlier, smaller mid-size, better, my comment was South Florida and Denver, 50,000 feet and under Nashville and central Pennsylvania, kind of 300,000 to 500,000 square feet. As I think we've talked about on prior calls, most of our, if not all of our buildings are designed to be multi-tenanted. And that flexibility is something we focus on. It's likely in Denver that both buildings we have there will be least the multiple tenants, as opposed to single tenants that we've seen over the last several years. We see that similar dynamic in Florida. As you know, our building in Pennsylvania that's 700,000 feet, we've already leased half of that. So I think it'll be a mix, but definitely we're seeing and the market is seeing more activity for multi-tenants or smaller mid-size spaces. Jojo, anything you want to add to that?
Jojo Yap: No, nothing we do add except that, again, want to emphasize all our buildings are designed to be multi-tenanted. Our larger buildings, you know, we could access that almost every time, the core sites, secure [indiscernible] and all that. So it gives us a lot of flexibility.
Nick Thillman: That's helpful. Thank you, guys.
Operator: The next question comes from Michael Mueller with JPMorgan. Please go ahead.
Michael Mueller: Yes, hi. Actually, I think my questions were answered. I was just really going to ask about activity levels on some of the larger developments and just kind of what you're seeing today compared to two or three months ago. And I guess how real did the discussions feel?
Peter Schultz: Mike, it's Peter Schultz. I would say, again, that activity is better. Engagement is better. Decision making across some prospects has demonstrated a little bit greater urgency, but I would say most are still proceeding cautiously. So while there's a lot of activity under the surface, tenants still need to be deliberate in making their decisions to move forward. As Peter mentioned earlier, the commitments for tenants, particularly for large buildings, is a lot of money when you outfit one of these large buildings. And like we've seen with elevated construction costs previously, they're seeing elevated costs and some of this material handling equipment. So it's a slower decision. And that's partly why we're seeing much better activity and faster decision making on the smaller mid-sized tenants.
Michael Mueller: Okay. Thank you.
Operator: The next question comes from Michael Carroll with RBC Capital Markets. Please go ahead.
Unidentified Analyst: Hi, this is Dion [ph] for Mike. I guess just a quick question. Apologies if I missed this. But how much of the remaining 2024 leasing is in Southern California?
Peter Baccile: Chris, do you want to cover that?
Chris Schneider: Yes, there's actually a higher percentage in Southern California remaining in 2024. If you look at the top three rollovers in 2024 are in Southern California. And we assume in our guidance that two of those three tenants will renew.
Unidentified Analyst: Okay, got it. And where do, just, I guess, where do you think spreads would be for that renewal?
Chris Schneider: We expect both of those rental rate increases to be 100% or more.
Unidentified Analyst: Okay, got it. Thanks.
Operator: The next question comes from Nicholas Yulico with Scotiabank. Please go ahead.
Greg McGinniss: Hey, good morning. This is Greg McGinniss on with Nick. And looking at some of the, 800,000 square feet vacant in Denver, I understand that you're going to be converting some of the larger spaces into multi-tenant. Can you just give us an idea of the cost of that conversion and what the expected spreads will be? Just trying to get an understanding of kind of like net effective increase.
Peter Schultz: Greg, this is Peter Schultz. In our underwriting, we assumed multi-tenant. So most of those costs are covered to the extent we demise to a couple of additional spaces. There might be some incremental cost, but it's not going to be material.
Greg McGinniss: Okay. Thanks. And just to follow up here on the developments, we see the - you added the Orlando build-to-suit to the pipeline this quarter. We do know that tenants pulled back a bit from build-to-suits with growing vacancy and more deliveries. This increase in activity and urgency that you're seeing, could we potentially see build-to-suits kind of pick back up? Or does that feel like more of a unique situation in Orlando?
Peter Schultz: The situation in Orlando is for a manufacturing company that needs the additional capacity because their business is growing. They're in the mechanical equipment business. So they had a real need for additional space, and we have the opportunity here to step into a deal where the sponsor was struggling with financing. So we were happy to take advantage of that opportunity. I would say more broadly speaking, Jojo, Peter can jump in on this. It depends on where you are. In some markets, there's some additional supply. And where return expectations may be, given where the interest rate environment is, it may be less expensive for tenants to consider existing buildings. So we'll see. Jojo or Peter, anything you want to add on that?
Peter Baccile: The only thing I'd say is that the build-to-suit as well as our acquisition in Houston are good examples of opportunities that came up because the owners couldn't raise the money. So we had an opportunity to step in there and obviously get some good economics and add some great assets to the portfolio.
Greg McGinniss: Great, thank you.
Operator: The next question comes from Caitlin Burrows with Goldman Sachs. Please go ahead.
Caitlin Burrows: Hi, good morning, everyone. Maybe on development starts, they slowed later in 2023. So I was wondering if you could talk about your expectations for 2024, and when or under what conditions you would start some additional spec [ph] development?
Peter Schultz: Yes. So we do anticipate new starts this year. The level of that in terms of volume of that will be very dependent upon the leasing pace that we experience over the next call it six months. But we do expect to have starts and I'll go so far as to say the first starts will probably be in South Florida.
Caitlin Burrows: Okay, got it. And the sale leased back that you announced, could you give a little more detail like how long is that lease? And you mentioned that you can build, I think it was over 100,000 feet on the site. Is that in addition to the existing building and maybe also what the competition was for the asset?
Jojo Yap: Sure. So Inland Empire, so we acquired it basically just land value and the sale leased back is long-term and we can build 175,000 square foot there.
Peter Baccile: That would be demolishing the existing building and building a new 175.
Jojo Yap: It is a completely new 175,000 square footer and basically based on our numbers today and where construction costs are and based on our land value, we think we can achieve good value creation on that, potentially new 175,000 square feet when the lease expires. But the lease right now is long term and we will enjoy rent from that tenant while we have a valuable asset and an infill market of Chino.
Caitlin Burrows: And anything you could say in terms of like was it a marketed dealer, a cost market or how that came to be?
Jojo Yap: How that came to be? It was a through a relationship just being in the market, leasing space. We came about this tenant needing to modernize, this corporation needing to modernize their real estate and so we came in off market.
Caitlin Burrows: Got it. Thanks.
Operator: The next question comes from Blaine Heck with Wells Fargo. Please go ahead.
Blaine Heck: Great, thanks. Good morning. I think last quarter you talked about a few opportunistic acquisitions on development projects that had capital needs. What are you stepped into to kind of help with funding? Are you seeing any more of those opportunistic or distressed opportunities emerge? Or do you expect those deals to continue to be few and far between?
Peter Baccile: Yes, so we are definitely looking, beating the bushes. As I mentioned a bit ago, the Orlando and Houston deals would fall in that category. There's a lot of institutional capital looking for similar opportunities. So it's very competitive. And that just means that it's the opportunity is -- the arbitrage opportunity is probably fleeting. There was a lot of money on the sidelines. A lot of that capital has come in. And so it's very competitive out there to try to bid on these opportunities.
Blaine Heck: All right, great. That's helpful. And then given that development deliveries are still hitting the market at a higher than average rate despite the drop in new development starts. Can you just talk about whether you think there are any markets that might be significantly weaker rent growth as we look into 2024 given the rise in availability?
Peter Baccile: You know, I think it would be the traditional markets that you would think of that are less high barrier are going to have lower growth. That would be markets like Chicago, Houston, Denver, and then the coastal higher barrier markets would be the ones that are going to grow obviously faster.
Blaine Heck: Very helpful. Thank you.
Operator: The next question comes from Jessica Zheng with Green Street. Please go ahead.
Jessica Zheng: Good morning. Could you please provide some color around the trends you're seeing for rent concessions? Are you seeing concessions increasing in any of your markets compared to the last couple of years?
Peter Baccile: Trends for rent concessions. Peter you want to start.
Peter Schultz: Sure, this is Peter Schultz. I would say generally speaking, rent abatement is up a little bit where it has been less than one half month per year of term to trending a little bit more than one half month per year of term. But that would really be at TI's or have been higher largely because the cost is more, not really as an additional concession.
Scott Musil: And the only thing I'll add is that renewals has changed. And renewals, the current, the past three rents and TI has been very, very sticky, basically no free rent and no TIs.
Jessica Zheng: Great. Thank you. That was helpful. And then just to follow up. I guess you mentioned you're optimistic on the SoCal markets given the 20% year-over-year increase in import volume. I was wondering on the flip side, are you seeing that shift back to SoCal negatively impacting the East and Gulf Coast port markets at all?
Peter Schultz: No. It's a short answer. Supply chains take a long time to change. Companies have diversified their supply chains to take advantage of both the East Coast and the West Coast. There are certainly disruptions now, as we all know, in the Suez Canal and Panama Canal. There's been labor issues on the West Coast pit. We'll go back and forth.
Peter Baccile: There's a labor agreement on the East Coast to be done.
Peter Schultz: The pace of change is slow.
Chris Schneider: And just to add to that, I mean, major retailers or corporations have redundancy. That's one of their strategic things that they always think about. They don't usually just close one port access because something might happen on a port. So a lot of times they're redundant supply chains. We don't think long-term it's going to change.
Jessica Zheng: Great. Thank you.
Peter Schultz: At the end of the day, companies need to be close to where their customers are to deliver their goods. That's not really going to change much.
Operator: The next question comes from Bill Crow with Raymond James. Please go ahead.
Bill Crow: Peter, I'm going to pass the question along that I get regularly from investors. And that is, you know, as we look forward, call it 18 months and interest rates may have come down a little bit and the spreads may have eased a little bit. What's to stop us from getting back to a point where we've got 400 million square feet of construction starts?
Peter Baccile: Yes. So there's been a big pause. Starts are way up, as you know, down about two thirds from the peak in 2022. Here's the thing. In '21 and '22, there were 500 million square feet of starts each year. And that was a direct result of the business activity around COVID when people were just, and you saw e-commerce go from 14% of sales to over 20%. And so this huge surge in demand created this massive influx of capital, which pushed all these new starts. And that's what we're digesting now. That was the catalyst for those starts. Demand ought to be more on a upward trajectory, but a flatter upward trajectory instead of that hockey stick, which should mean that capital behaves appropriately and that starts come in, in and around the neighborhood of where net absorption is. I mean, that's what you would expect. We don't see a catalyst yet right now today to say, oh, we need another 400 million or 500 million square feet of starts each year. So that would be the way we look at that question.
Bill Crow: So the fact that I think every one of the public companies is talking about ramping up starts later this year, you don't think that sort of attitude is in the private sector as much, I guess?
Peter Baccile: You know, that depends a lot on the financing and how they do that. If someone's going to come in and all cash and worry about the debt part later, that could encourage some new investment and development. Right now, construction loans are very hard to get. And when you can, they're very expensive. In fact, for the most part, it's going to make any high barrier deal impossible to prep sales. And that's where we are. We're in the highest barrier markets, and that's where our land holdings are. So maybe we're a bit insulated from that.
Bill Crow: All right, well, congrats on a great '23 and a good outlook for '24.
Peter Baccile: Thanks very much.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Peter Baccile for any closing remarks.
Peter Baccile: Thank you, operator, and thanks to everyone for participating on our call today. If you have any follow up questions, please reach out to Scott or me. We look forward to connecting with many of you in the first quarter. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.